Operator: Good day everyone, and welcome to the Green Dot Corporation Second Quarter 2018 Earnings Conference Call. Please note that the contents of this call are being recorded. And I would now like to turn the conference over to Dara Dierks. Please go ahead.
Dara Dierks: Thank you and good afternoon everyone. On today's call, we'll discuss 2018 second quarter performance and thoughts about the remainder of the year. Following those remarks, we'll open the call for questions. For those of you who haven't yet accessed the earnings release that accompanies this call and webcast, it can be found at ir.greendot.com. As a reminder, our comments include forward-looking statements, among other things, our expectations regarding future results and performance. Please refer to the cautionary language in the earnings release and in Green Dot's filings with the Securities and Exchange Commission, including our most recent Form 10-K and 10-Q, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will make reference to our financial measures that do not conform to Generally Accepted Accounting Principles. For the sake of clarity, unless otherwise noted, all numbers we talk about today, including revenue per active card, will be on a non-GAAP basis. Information may be calculated differently than similar non-GAAP data presented by other companies. Quantitative reconciliations of our non-GAAP financial information to the directly comparable GAAP financial information appears in today's press release. The content of this call is the property of the Green Dot Corporation and is subject to copyright protection. Now I'd like to turn the call over to Steven.
Steven Streit: Thank you, Dara, and welcome everyone to Green Dot Corporation's Q2 2018 earnings call. Today, we'll start with a review of our outstanding financial results in yet another consecutive quarter with performance that exceeded our expectations. I'll then provide an update on how we're executing on our 2018 Six-Step Plan, which will then be followed by Mark's overview of our quarterly results, including details of a significant increase to our 2018 full-year revenue and earnings outlook. We are pleased to say that our long-term strategic plan to be a new kind of bank is yielding very impressive results. By new kind of bank, we mean one that uses technology ubiquitous digital and retail brick-and-mortar distribution and large partnerships to acquire customers instead of branches, and a bank that generates revenue from increasing customer satisfaction, not from increasing customer penalty fees. As evidenced by our ongoing operating and financial momentum, Green Dot continues to provide unique products and services for consumers as well as one-of-a-kind platform solutions for our BaaS partners. Consolidated GAAP total operating revenue came in at $258.3 million, representing a year-over-year growth rate of just over 16%. We would note that this quarter's performance was entirely organic with material growth being driven from both our established product lines and our new BaaS platform programs. And despite a more challenging year-over-year comparison, organic growth accelerated again reaching its fastest rate since 2012. Adjusted EBITDA for the quarter was $57.6 million on a consolidated basis, representing a year-over-year growth rate of 15% exceeding our adjusted EBIT to margin expectations by over 140 basis points. And consolidated non-GAAP EPS for the quarter was $0.74 representing a year-over-year growth rate of 35% marking the eighth consecutive quarter in which we have posted double-digit or better year-over-year growth in non-GAAP EPS. In our Accounts Services segment, total revenue in the segment jumped by 17% to $204.3 million as total active accounts jumped for the sixth consecutive quarter going by 14% year-over-year to 5.9 million active accounts or an additional 700,000 more active accounts of which approximately 500,000 were new direct deposit accounts. Again, this growth was 100% organic. In addition to having more active customers year-over-year, those active customers used their accounts more than ever and generated more revenue than ever with deposit volume, purchase volume and ATM usage all increasing double-digits year-over-year. The continuing long-term portfolio makeshift towards higher lifetime value accounts helped push the gross dollar volume or GDV flowing through our various products to more than $9.4 billion representing organic year-over-year GDV growth of 25%. Our Processing and Settlement segment continues to build its growth momentum, achieving record setting results in the quarter. Revenue increased 12% in the quarter to $61.9 million driven by increasing transaction counts in all of our product lines in this segment including cash transfers, tax refunds and simply paid corporate disbursements, which all grew year-over-year transactional volume by double-digits. Now I would like to share some recent business updates, and then I'll share the status of our Six-Step Plan for 2018. As you know, we operate under a unique products and platform model where we generate revenue to the issuance of our own internally designed and branded that we distribute to the mass market and through our platform, which allows qualified outside partners to use our bank, technology and program management capabilities to design and brand their own products that they then distribute to their own customers. So first, let me discuss some of the more notable programs on the platform side of our business called BaaS or Banking as a Service. First, Apple Pay Cash continues to grow very nicely and while program revenue isn't expected to be material, Apple Pay Cash is already serving millions of customers across the U.S. less than eight months since its launch. The Intuit Turbo Card Program has delivered wonderful results since its Q1 launch and it continued to do very well for us in Q2 as a result of the tax refund volume that occurred in April and because a large number of customers have made additional deposits to their cards beyond the initial tax refund disbursement and are seemingly using the debit card as an ongoing bank account beyond tax season. Our Uber GoBank Rewards account continues to grow very nicely with new drivers increasing adoption of the account and existing account holders using it more often, while development continues on our new bank account product in partnership with Stash, which will be released later this year. In all, our BaaS programs collectively contributed materially to our year-over-year GDV growth, active card growth and revenue growth. On the product side of our shop, Green Dot continues to gain traction. First, Green Dot's long-term retail distribution partners continue to increase their support for our products and services with Dollar General, Family Dollar, 7-Eleven, Rite Aid, Albertsons and Walgreen stores, all adding either new incremental displays, expanded placement on those displays or increased in-store signage designed to increase sales of Green Dot brand products across their store locations nationwide. We're also proud to announce that Green Dot launched new placement of the Walmart MoneyCard at the check lanes and 600 incremental Walmart stores and Green Dot products and services can now be found in all Walmart Puerto Rico stores. Now let me review how we're performing against our 2018 Six-Step Plan. Step one as you'll recall is to continue to grow the number of active accounts year-over-year and to improve the unit economics of those accounts. As you know, from our Q2 results and our first half results, more broadly, we're hitting the step one objective out of the park. Every metric in the Account Services segment reflects the powerful dynamic of an increasing number of active account holders who are generating far more usage and engagement with our products. The result continues to be an ongoing tailwind to the profitability and value of our account active portfolio. So I think it's fair to say that we are in a very good place with step number one. Step number two is to launch a new and compelling use case for the new MoneyPak and then continue to increase the number of retail stores selling money pack. MoneyPak continues to gain traction with sales nearly doubling year-over-year and an additional nearly 8,000 retail locations now selling the product in the quarter up to nearly 78,000 retailers now selling MoneyPak. To put that number into perspective, at the beginning of last year, we only had around 30,000 retailers selling MoneyPak. The rapid expansion of retail distribution for MoneyPak speaks to Green Dot's brand power at many of America's best retailers. That new use case is now in pilot and showing good traction, but we've decided to delay the official launch in order to make certain product improvements based on learnings from the pilot. So check the box in step number two as it relates to distribution on unit sales of MoneyPak with a half check so far on the new use case. Step number three is about continuing to invest prudently for future growth. I think we've done a disciplined job here with significant allocations of capital being deployed to build new products and improve current ones while investing in people, recruiting more senior leaders and highly capable team members to ensure we can manage our growth responsibly and in keeping with our strong cultural values around risk management compliance and internal controls. We've also been continuing to invest in making our BaaS platform, flexible, powerful and rigorous with a set of tools and capabilities that can allow us to scale quickly, safely and efficiently so that we can readily absorb the may opportunities ahead. Despite our philosophical commitment to reinvesting some of our financial outperformance back into an array of existing growth initiatives, we have protected profitability as seen in our continued expectations at 2018 margins will expand. So I believe we can say we were on track with step number three. Step number four is about continuing to drive increasing efficiencies across our consolidated operating platform in order to drive margin expansion as a part of our standard operating rhythm. While we've had a lot of success with these platform initiatives over time contributing to an over 600 basis point improvement to consolidated adjusted EBITDA margins over the past five years, we still have a tremendous amount of innovation yet to come around the customer delivery platform and other parts of our business, like, how we provide customer service, card delivery, fraud monitoring and that type of thing in ways that are more satisfying for the customer and yet much more scalable and more efficient for Green Dot. Of course, these innovations require targeted investments to successfully bring them to market, but we expect these investments to be more than offset over time by the resulting cost savings and improved customer satisfaction, which of course, drives more favorable retention and usage. When you consider our margin performance in this Q2 being a 140 basis points ahead of our expectations and our forecast calling for expanded year-over-year margins for the full-year, despite the elevated level of investment in new product launches, platform improvements and people, you can see why we feel good about how things are developing here and so we will check the box on this step number four. Steps five and six are about the smart and accretive use of capital to enhance shareholder value over time. The past few years have been a period of heavy and rapid capital deploying at Green Dot including buying UniRush and several other companies and then completing a very successful and highly accretive $150 million share repurchase authorization last year. Then as we completed the last installment of our share repurchase plan, we launched our BaaS platform business, which has been successful beyond our greatest expectations. Given the success of our recently launched BaaS programs, the number of potential BaaS fields in the pipeline that may require capital and the tremendous growth we're seeing in our established product lines and the new product opportunities coming in the pipeline on the product side of the house, we believe that digesting all the activity from the last few years and focusing on flawless execution is the right strategy at this time. As such, we will continue to build our capital reserves, which will only enhance our flexibility to pursue future M&A opportunities, share repurchases or other activities that meet our return objectives. So for step five and six, I think it's fair to say we're investing in what we believe will be highly successful and accretive activities with an eye towards share buybacks or acquisitions down the road. So in summary today, we're very pleased with how we're balancing the execution against our longer term corporate strategies with our focus towards hitting our targets in the 2018 Six-Step Plan. Mark and I feel terrific about being able to deliver such outstanding results to you our investors and greatly appreciate your partnership and confidence in Green Dot. With that, I'll now hand the call over to Mark Shifke for his CFO report. Mark?
Mark Shifke: Thanks, Steven. The strong momentum in the Accounts Services segment, including strong results from both the products and platform parts of our business and the Processing and Settlement segment inclusive of our various cash processing and tax refund processing product lines combined once again to deliver truly outstanding results for the quarter. GAAP total operating revenue of $258.3 million represented a year-over-year consolidated organic growth rate in the quarter of just over 16%. This is the strongest organic growth rate our company has posted in six years back when Green Dot was a much smaller company, we're quite proud to achieve such strong organic growth rate at our company's current size. As we discussed on last quarter's call starting in 2019, we will begin using a new presentation for non-GAAP revenue which will include net interest income generated at Green Dot bank from the investment of customer deposits and will be reduced by commissions and certain processing related costs associated with certain BaaS partner programs where the partner and not Green Dot controls customer acquisition. Under that presentation, we would have added $5.3 million of interest income this quarter and subtracted $10.9 million of processing costs in commissions resulting in $252.7 million of consolidated non-GAAP operating revenue in the quarter. Now diving into the segments, the Accounts Services segment delivered GAAP revenue of $204.3 million representing organic year-over-year growth of 17%. We increased total active accounts in the quarter by 14% year-over-year to approximately 5.9 million active accounts. This active account growth was spectacular and well ahead of our internal expectations, even more encouraging is that the growth in active accounts is being driven both by our newer BaaS platform programs and our own products. As Steve alluded to in his remarks, the larger portfolio of actives also continues to demonstrate healthy growth metrics and a more profitable average account. Consider that direct deposit accounts grew by 28% year-over-year, which helped drive GDV to $9.4 billion in the quarter which was 25% higher than last year again all this growth is organic. Our Processing and Settlement Services segment generated approximately $61.9 million in GAAP revenue acquiring to a 12% year-over-year increase. The strong revenue was driven by healthy growth in all the segments various product lines, including the number of cash transfers which increased approximately 11% year-over-year, the number of tax refunds processed which increased by 16% year-over-year. The combined operating segments generated adjusted EBITDA of $57.6 million in the quarter which equates to a year-over-year organic growth of 15%. Adjusted EBITDA margins in the quarter were 22.3%, a full 140 basis points better than our expectations while a portion of that better than expected margin was a result of the timing shift of a few million dollars of expenses that will get pushed into Q3, the remainder of this upside reflected better than expected margin flow through at some of our new BaaS programs and the continuing trend of dramatically improving margins on our established product lines where incremental revenue from higher deposits and higher spend fall to the bottom line at very high incremental margins. Non-GAAP EPS came in at $0.74 per share up 35% year-over-year. As Steve noted, this is the eighth consecutive quarter of double-digit or better non-GAAP EPS growth, we believe this is even more notable given that we have been in a period of heightened investments to support the build out of our BaaS platform and many other technology and infrastructural projects, we achieved this outperformance on non-GAAP EPS primarily from a combination of the flow through from our better than expected EBITDA, higher interest income on the investment of cash deposits held at the bank and a lower effective tax rate. Green Dot once again generated excellent cash flow from operations of $167.7 million during the quarter. We exited Q2 with $182.6 million of unencumbered cash on our balance sheet or nearly $100 million more than Q2 of last year. Now turning to our updated guidance for the full-year 2018 and directional guidance for Q3; we are very pleased with both our results and the underlying strategies and initiatives, driving those results and this strong performance enables us to once again raise both top and bottom line full-year guidance for 2018. First let's talk about full-year revenue guidance. We over-performed our revenue expectations in Q2 by $9 million furthermore based on our actual performance trends we expect that the revenue momentum across all of our business lines will continue for the remainder of the year and that's such we are raising our current full-year revenue guidance range of $1.002 billion to $1.012 billion by $20 million which reflects the $9 million of over performance in Q2 as well as in additional a $11 million of upside we expect in the second half based on the momentum we are forecasting for the remainder of the year. So the new GAAP revenue guidance range for full-year 2018 is $1.022 billion to $1.032 billion, which equates to a year-over-year revenue growth forecasts range of between 15% and 16% for the full-year. It is worth noting the midpoint of our new revenue guidance range is $37.5 million above the midpoint of our original 2018 guidance range provided in February. Now let's talk about full-year adjusted EBITDA guidance. We over-performed our adjusted EBITDA expectations in Q2 by $5.6 million but around $3 million of that over performance was a result of a shift in timing of certain expenses that we originally expected to come in Q2 but we now expect will instead come in Q3. So when considering the spend that was originally. Earmarked for Q2, we would have generated incremental adjusted EBIDA of approximately $2.5 million on the $9 million of revenue over performance in a quarter which implies an adjusted EBITDA contribution margin of around 30% on that revenue over performance. We would expect that approximate margin percentage to apply to our entire full-year revenue guidance increase of $20 million which would generate an incremental $6 million or so of adjusted EBITDA for the full-year. If we guided the full amount of that incremental margin, we would be adding around $6 million to our previous adjusted EBITDA range of $240 million to $245 million however considering the robust pipeline of new opportunities across the company including new potential BaaS partnerships and new internally designed products and platform enhancements that we believe deserve some higher investment that originally planned we're prudently going to raise our annual guidance by $3.5 million at the midpoint, which gives us additional flexibility to fund those investment opportunities. As such, our revised full-year adjusted EBITDA guidance range is now $244 million to $248 million according to a year-over-year projected growth rate of between 19% and 21% and represents a $7.5 million raise compared to the original EBITDA guidance we gave in February. At the midpoint of $246 million, this revised guidance implies second half adjusted EBITDA margins are expected to expand by approximately 270 basis points year-over-year and approximately 85 basis points for the full-year. We now expect our non-GAAP EPS to be in a range of $3.03 to $3.08 per share. Equating to year-over-year growth of between 40% and 43% and a $0.09 per share increased at the midpoint from our prior guidance range of 293 per share to $3 per share. Our non-GAAP EPS forecast assumes a tax rate of approximately 24.2% previously 25%, a fully diluted share count of 54.6 million shares, net interest income of $16 million previously $15.5 million, and depreciation and amortization of $42 million. Now let's talk about our expectations for Q3. We are estimating Q3 to deliver approximately $222 million in GAAP revenue and adjusted EBITDA to be around $38 million implying an approximate 17.1% consolidated adjusted EBITDA margin an improvement of approximately 30 basis points over Q3, 2017 that $38 million in adjusted EBITDA is expected to deliver Q3 non-GAAP EPS of approximately $0.41. This Q3 guide at the midpoint implies that we expect Q4 GAAP revenue to be around $232 million, and Q4 adjusted EBITDA to be around $46 million according to an implied Q4 margin of approximately 20%, an improvement of approximately 500 basis points over Q4 2017. The primary reason why our implied Q4 year-over-year margin comparison is so strong is that in Q4 of 2017 we were investing heavily in the development and deployment of several large BaaS programs, including programs for Apple, Intuit, and Uber. In this year's Q4, while we still plan to invest incrementally in new development, on a percentage of revenue basis, it's less than what we spent last year in Q4. Furthermore, this year we're benefiting from the revenue that those new BaaS programs are generating. So if you will, last year's Q4 was planting time for those new programs, whereas this year's Q4 is expected to be harvest time. All told, the midpoints of our revised full-year guidance imply expected second-half GAAP revenue of $455 million, and adjusted EBITDA of $84 million, which equates to an adjusted EBITDA margin of approximately 18.6%, which as previously noted equates to an approximate 270 basis point improvement over second-half of 2017. And with that, I would like to ask the operator to open the phone for questions. Operator?
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] And the first questioner today will be Andrew Schmidt with Citi. Please go ahead with your question.
Andrew Schmidt: Thank you. Hey, Steve. Hi, Mark. How are you?
Steven Streit: Good. How are you, Andrew?
Andrew Schmidt: Great. Congrats on a good quarter, and thank you for the detailed commentary on the outlook. That was very helpful.
Steven Streit: Thank you.
Andrew Schmidt: Question on just the longer-term margin outlook for the business or the longer-term opportunity in terms of margins, wondering if you could help us just frame the opportunity here. Clearly incremental margins, upper 20%- low 30% given the way you currently report. What's the right way to think about just -- and I understand there are investments that are required, obviously ramping partners, et cetera. What's the right way to think about the longer-term margin progression of the business and the ultimate opportunity here?
Steven Streit: Right. Well, we've expanded quite a bit, as you heard from the prepared remarks. In fact, in looking at the data I was shocked to see how much we've grown, when you think of it over a five-year span, 600 basis points of margin added to the business. Mark, do you want to take it about the longer-term concept of where we think we should be?
Mark Shifke: Yes, I don't think about it in terms of a specific EBITDA margin I'd like to be at. We are in a fortunate position of having a fantastic TAM in front of us, a great opportunity set for growth. And we're trying to strike the right balance of continuing to expand our margins as we grow at the same time. So, just as we're doing this year, we could have -- in the alternative, we could've just taken margins up if we didn't see great opportunities for investment and our growth over the long-term. So I'd rather answer it qualitatively and say I think we have plenty of room for margin expansion while we continue to grow.
Steven Streit: I think that's a fair question. We have a goal that I think I've said on various earnings call. Margin expansion every year, and generally we start off with a slate and look at 100 basis points and what we'd want to do. But some years again, if we have big investment years it may not hit it. This year we're going to do it pretty much. But that's the way to look at it if you think of our margins this year; by the end of the full-year I think about 100 bips of expansion. Well, not every year you'll hit it. Some years will be bigger investment years. That's a good cadence that we would look to to be successful.
Andrew Schmidt: Got it, that's helpful. And then just to follow-up, the Banking as a Service pipeline, can you just frame I guess how that's shaping up? Can you add multiple partners in a given year? Anything just to conceptualize just the size and the demand you're seeing for just Banking as a Service partnerships, clearly hitting a nice demand trend here from just a powering new fintech use cases? So just curious if you could help just to frame up the opportunity?
Steven Streit: So there's a lot of opportunity for BaaS, and my gut is, as you look at the sales pipeline, that we're just scratching the surface. At the end of the day, if you think about where banking is going and the power of banking in the hands of a few large organizations or regulated institutions that then have all the accounts, if you will. The future, just like technology in general, is putting the power of banking in the hands of individuals, and corporates, and others. And Greed Dot has something unique, which is this platform that allows people to do that successfully at scale. And we're doing it. And that's very, very unique in the country. I'm not aware of anyone. There's a company out there that does the technology part, but only that, not the banking part, not the program management part, not the regulatory piece. There are other companies that may do something with something else. But only Greed Dot has that vertically integrated asset stack of the regulated bank and the technology to build things de novo, from scratch, really complex things as well. And the program management skills, meaning risk management and compliance and call centers all over the world, and all the things that you have to do. A card design, just think of all the pieces, package design, distribution fulfillment centers, all those things that go with it that people don't think about until they try to do one of these programs and they say, "Oh yeah, what about that." So I do think we have a great opportunity ahead of us, and that we're just scratching the surface of pipeline. When you talk about can we do multiple programs in a year, the answer is yes. We did three last year. And that's part of what we're building though, is the opportunity to do more and to build that scale, and to do it safely. A lot goes in to rolling out an enterprise-level program when you think of the size of the programs we're doing these are large programs with very large partners. And so the level of governance and precision that has to go into it is extreme. And we do a very, very good job of it. We have an amazing team, and I'm just so proud of them. Because it isn't just what you see, "Oh, look I got my card in the mail." When you think of all that goes into it, including the regulatory parts of it, and all the things that have to happen to make sure that it works every time the right way at scale, we do a very, very good job. And I think the future on that is very bright. And I wouldn't be surprised, at some point, if the BaaS side of our business eclipses the product side of our business. Right now they're about even. But BaaS is growing very quickly.
Andrew Schmidt: Great. Thanks for that, I appreciate it. Good quarter, guys.
Steven Streit: Thank you.
Operator: And the next questioner today will be Bob Napoli with William Blair. Please go ahead.
Bob Napoli: Thank you. And good quarter, and also I appreciate the numbers update. That was really helpful. The account growth, obviously very strong and accelerating, can you give some color on what is driving the incremental growth, is it Uber, is it -- I mean, Apple is not in those numbers or the Apple Pay Cash accounts are not in those numbers.
Steven Streit: That's correct, yes.
Bob Napoli: And what is driving that?
Steven Streit: Yes, Apple is not in those numbers. So it's all of it, frankly. The BaaS side of the business grew a lot of accounts, obviously with programs like the TurboTax program and the Uber driver program, those were active cards. But our established product lines, Bob, are just really doing well, so we're seeing growth from both. In fact, if you size sort of the revenue growth, where did the revenue growth come from, it's pretty much split along the middle; half from our established product lines and half from our BaaS products. And if you look at the GVV growth, it's about half-and-half. So everything's growing in relative lockstep. So it's coming from all of those things, and we have a healthy macro. And we have a huge TAM, and all those things are contributing to the growth.
Bob Napoli: Now, within the BaaS segment, the Uber or the gig economy type of business seems like a really good fit for your product.
Steven Streit: Yes.
Bob Napoli: Are more of those types of businesses in the BaaS pipeline or what businesses fit best to the BaaS product?
Steven Streit: We have such a vast variety. I mean, think of the variety we have now, we have Apple Pay Cash, which is about money movement and technology and mobile tokens. You have traditional card programs like what we're doing with tax disbursements. We have a very complex and really great rewards product with Uber that is unlike any product we have in the company. In fact, I often talk to our product team who runs that. It may be the best product we have in the entire company, frankly. And they're all different. So what's so cool as Baking as a Service, and that platform keeps getting better and better with each iterative release, the technology release, is that you have this whole menu of things that you can do, and you're limited in large part only to your creativity as a product designer. So if this person wants cash-back rewards, great. This other partner, "No, I don't want cash-back rewards. I want interest on a savings account." Okay, that's fine. This other person wants something else. The point is that you can select it all in a matrix and put it together in a very customizable way all existing on the platform. So I think the kinds of partners we have run the gamut of opportunity. And I think that's kind of what our pipeline looks like now. There's so many business, here's the way I think about it, Bob. There's so many businesses that have the desire or the need to communicate to their customer base in a financial way. In other words, how I get wages to them or how people engage in their business, offering rewards. Just think of all the different ways that people community to people in an intimate way through their money. And as BaaS becomes more and more known, and as more and more companies wake up to the fact that, "Wait a second, I don't have to take that off-the-shelf product from that large main street bank. I can make my own product and do what I want to do with it, and use it build my loyalty or use it to build my business the faster that pipeline grows." And we're very blessed to have so many fabulous marquee-named clients early on in BaaS' life. But the fact is that there are just a tremendous number of opportunities out there that run the gamut.
Bob Napoli: Last quick question, if I may. Just the accounts that you're adding, number one out of six of your target achievements is higher revenue per account, but there's a lot of different types of accounts coming on. Do you still expect to have increasing revenue per account or profitability per account even given the huge growth?
Steven Streit: Well, since it's not a metric we guide, let me answer it in a different way instead of saying what we expect. What we have seen is that more accounts and more revenue per account, because revenue is driven primarily by spend and retention. So they're all sort of a wheel of synergy that creates that outcome of more revenue. So we think that, to the extent we can continue to issue more accounts and that our existing users like the products, they enroll in direct deposit. I think in the prepared remarks we said that of the 700,000 new accounts year-over-year 500,000 were direct deposit accounts. And yes, as you know, we had a spectacular statistic in Q1 on that as well. That's big stuff, right, because the more they use it the more they will use it, unless we do something to alienate the customer, but we hope not. And that what generates that increasing revenue over time, because accounts grow in revenue over time as they become more seasoned with the customer. So we think we have a lot of good stuff ahead of us. That's probably the best way I can answer it.
Mark Shifke: And I think just to further Steve's point, as you see the portfolio mix move more towards direct deposit customers as a percentage of total and away from one-and-dones. But definition you'll have more revenue proactive on the direct deposit customers than you will on your one-and-dones.
Bob Napoli: Great, thank you. Thanks, Mark. Thanks, Steve. Appreciate it.
Mark Shifke: You bet. Thank you, Bob.
Operator: And the next questioner today will be Andrew Jeffrey with SunTrust. Please go ahead.
Andrew Jeffrey: Hi. Good afternoon, guys. Thanks for taking my question.
Steven Streit: Hi, Andrew.
Andrew Jeffrey: Maybe to elaborate a little bit or ask you to elaborate a little bit on Bob's question, which I think is a good one. Recognizing that today you're growth is roughly split half-and-half between traditional and BaaS, and also recognizing that, and I'll just take Uber as an example, that it's probably a relatively immature product, it's a new product. Can we think about a runway whereby an Uber driver is likely to use his rewards card more frequently with time? And I guess to ask another way, how penetrated are you and should we be thinking over the next couple of years that penetration and usage would increase such that more than half your growth is coming from these or maybe a lot more than half your growth is coming from BaaS as opposed to the core business?
Steven Streit: Right. Well, the answer is -- look, BaaS is growing great. And that's what I was I saying about seasoning before. If you look at the life of an account, the customer acquires it on day one; by day 365 without question that customer would be using it more. They just do, they more comfortably get more money put on, it becomes top of wallet. So yes, the more those portfolios age the better they get, not just Uber, any of them. And so to your point, we're still very early on in the lifecycle, a lot of these new customers coming on. And we would expect all of those programs to be bigger year-over-year just as the organic snowball rolling downhill gets bigger. And as they get older and people use it more and like it more we would expect them to have their own organic growth curves. The question of whether BaaS is bigger depends on how our product side continues to grow, and that's also been growing really, really well. I mean we're experience growth with our -- hate to use the word legacy because the products aren't legacy, they've been redone many, many times. But that original part of the business, if you will, selling cards and retail, and what not, that's really growing well for us. And the direct deposit penetration and the usage on that also continues to grow very, very well. So it's all growing, and that's what's giving the kind of growth we've had. I mean for a company to be at our size and having record-setting organic growth. It's one thing to grow 15% or 16% organically when you're a $200 million company. At over a billion that gets a little bit harder, and yet we're doing it rather handily, and that's exciting to see. And that's because right now everything is growing in lockstep. So it's hard to say what will grow faster. BaaS has the potential to grow faster because the power of many is always greater than the power one. So as creative as our Green Dot designers are, and as wonderful as our distribution channels, both consumer direct with their various online properties and our retail displays. When you have many, many companies using BaaS you have just exponential growth opportunities ahead. So I do think BaaS over time will eclipse our established product lines, but they're all doing well right now.
Andrew Jeffrey: Okay, that's helpful. And as a follow-up, Steve, I know you mentioned the new use for MoneyPak is kind of a work in progress, and you haven't guided '19. But when you think about your budgeting and how you may have factored that into '19. Is that disappointing, is that net slippage or is it really just more of kind of a speed bump?
Steven Streit: When you say '19, you mean '18, 2018?
Andrew Jeffrey: Well, no. I'm thinking about if that product rolls out this year or at the end of this year the impact will be on '19. So I mean you guys are always thinking ahead. I'm just wondering if that altered your internal view of what '19 growth might look like when you're saying you're delaying it.
Steven Streit: No.
Andrew Jeffrey: Okay, so not a material impact.
Steven Streit: It is. And MoneyPak, as it is right now, is selling very, very, very well. And we think that the new use case will open up MoneyPak to a broader selection of customers. But when you think of the size and scale of the company no one product really is going to make or break the company. But we think it'll be a nice add for sure.
Andrew Jeffrey: Okay, helpful. Thanks.
Steven Streit: Yes.
Operator: And the next questioner today will be Joseph Vafi with Loop Capital. Please go ahead.
Joseph Vafi: Hey guys, good results. I was wondering, since this is the BaaS quarter, throw another BaaS question in.
Steven Streit: Sure.
Joseph Vafi: In terms of marketing the BaaS capabilities, is this an inbound effort still or are companies more reaching out to you, they're hearing about this or do you have an outbound sales and marketing effort to drive awareness for this capability? And then I'll have a follow-up.
Steven Streit: I think it be fair -- if Brett Narlinger were in the studio, although he's right down the hall. Let me go grab him. Can you image doing that, he'd freak out, what are you doing. If he were in the studio what he'd say is that we can be more organized and better still. Most of our activity is inbound, although we know folks and we're well connected, and we have a connected board, so obviously we'll make calls to folks as we might. But today we don't have a powerful marketing program for BaaS. We've been so busy with just the inbound, and that's what we've been working off of. But we absolutely will have a much more organized outreach to large companies that we think can benefit from creating a bank account in their own image that ties in more closely with their customer base or their employee base. We think the opportunities are just tremendous. And it's actually one of the things that Brett and I are working on is how do we get more efficient and better at finding those BaaS partnerships' upsize and value because you don't want to waste your time on the small ones. But so far it's mostly inbound.
Joseph Vafi: Okay, that's helpful. And then if you think about your incremental investment that you're making in the BaaS platform, is it more company-specific still or if you make, say, an incremental investment or in the next six months of X dollars it kind of potentially opens it up as a much broader, more widely applicable platform that could be applicable to a much larger TAM that's not as customer-specific? Thanks.
Steven Streit: Right. It's a good question. Today, BaaS can be pretty much anything the partner wants it to be, because it does money transfer, it -- remember we have the Green Dot Network which we don't talk a lot about on these calls. The Account Services segment usually overshadows that segment, but that's still a powerful segment with all kinds of money transfer capabilities. And we do a lot of business in that segment. So you have all the money transfer stuff, you have all the account banky kinds of things, if you will. And then you have all the technology pieces, all the mobile banking pieces and all the mobile payments pieces that are in there too. So, the capabilities today are fairly robust, and it's rare that we would have a partner needs something that isn't there. Having said that, we do make custom things all the time, like we make the savings vault originally for Walmart, that was their request. And we have other things that will come up from time to time. And once we develop those they become a permanent part, generally, of that platform for other people to use. Most of the work that we invest in on BaaS has to do with the backend. Let me think about this. First of all, you have to have scale. In other words, when you think about the numbers of transactions, whether it's two or three billion authorizations or transactions a year, you have to be able to support that without going down, you need to have 99.999% uptime or more depending on your SLAs. And you need to make sure you can deliver a regulated product that's consistent all the time. And that means you have to have bandwidth and scale and the right kinds of governance and operational procedures around running large networks, which we do. We've done it for years, but you're always adding to that and building to that. So that's part of it. The other part is the backend. So if you think of a -- here's an analogy we used internally recently a meeting, in a large neighborhood it's one thing to say, "Hey, we now know how to efficiently build houses and condominiums and town homes and so we're going to build a community out of the earth. In 90 days we're going to have a whole city with homes and apartment buildings." Okay. That's great, but then what about sewage treatment plants and the electric power plants and the roads and -- it's not the sexiest part. You'd much rather show a model home and the furniture and get everybody excited, but the truth is a lot of investment has to be made in infrastructure. And even though we don't talk about it on earnings calls, that's a big part of what I think about as CEO, it's a big part of what Kuan Archer, our Chief Operating Officer, thinks about, all that stuff, so that you don't have toilets overflowing. The equivalent of a toilet overflowing in our world would be a call center with long wait times or flood monitoring tools that are too blunt and they don't get the job done or they block cars needlessly or this kind of thing. So you have to really invest in all that backend stuff so that as you're building new neighborhoods, you can elegantly service those neighborhoods and have traffic move smoothly and everything worked properly. And so a lot of our work goes into that. The benefit, though, of that is it almost always turns into a much more cost efficient operation, because as you build out a new way to handle customer care inbound enquiries or a new, more smart way to monitor fraud, it almost always relies on new automation and new techniques that costs less than and does more than whatever it is we have now that we're replacing. So that investment is ongoing and constant. And normally that's the kinds of things we're referring to when we talk about investment.
Joseph Vafi: Thanks so much, very helpful.
Steven Streit: You bet.
Operator: And the questioner today will be Stephen Kroc with KBW. Please, go ahead.
Stephen Kroc: Thanks for taking my questions.
Steven Streit: Sure.
Stephen Kroc: Just around the outperformance on the revenue side by $9 million this quarter can you elaborate on what drove that performance?
Steven Streit: Sure. Mark, you can…
Mark Shifke: Yes, well, as I think Steve alluded to, roughly half of it is coming from our BaaS programs, half of it is coming from our established programs. We had great overperormance in our actives and in direct deposit. And so that was a key driver on the account services side. And then we also had a very nice pickup on the processing and settlement side and I'd say a nice contributor was both MoneyPak and a little bit of overperformance on our RT transfers -- new fund transfers.
Steven Streit: So it's coming from everywhere. I mean, I don't think we have a division PayCard, all of it, I don't think we have a division that isn't growing at the rate we have forecast or better. So it's, I think, a unified effort.
Mark Shifke: Yes.
Stephen Kroc: Got it. And then just as I looked at the revenue guidance for the back half of the year, it seems like this quarter, the reported was 6% growth. And if you take out the outperformance it was 12%. Using your guidance coming down 10% can you just walk us through what's leading to that sequential decline? Is it tougher year-over-year comps and then how should we think about what revenue growth is over like a longer term?
Mark Shifke: Yes, that's a great question, and Mark can tell you the answer.
Mark Shifke: That is a great question, Stephen, and thanks. Look, let me think about several points that we can put out there to put that -- to put our guidance into context. First, as you just noted, we are growing over successively tougher comps. For example, in Q3 last year, we grew organically by about 11%. In Q4 last year, we grew organically by about 12%. So you can see the comps are getting tougher year-over-year. Also in the first half of this year, our year-over-year organic growth was held by Intuit and you know that's a large de novo program where most of the revenue is coming in the first half of the year. So that's accentuating our year-over-year organic growth rate in those quarters. Next, you may have observed, we take a prudent risk adjusted approach to our guidance. And as such we provide numbers in our outlook that we're highly confident we can achieve. Now you're correct that our guidance does call for a lower percentage of organic growth in Q3 and Q4 than we actually achieved in the first half of the year, but we're not intending to say that our actual results may not be more robust if the performance continues as it has.
Stephen Kroc: Got it. Thanks for taking the question.
Mark Shifke: You bet.
Steven Streit: You bet, thank you.
Mark Shifke: We have just one more and that looks like Tien-tsin.
Operator: Yes. And our next question will be from Tien-tsin Huang with JPMorgan. Please go ahead.
Tien-tsin Huang: Thank you. Thank you, and great results, guys.
Steven Streit: Thank you.
Mark Shifke: Thanks, Tien-tsin.
Tien-tsin Huang: Always good to catch up with you all. So I think on the margins, you had mentioned that you saw better follow-through of the BaaS program. So I was curious can we apply the 30% incremental margin to the BaaS division as well?
Steven Streit: Gosh, how do we break that down for a call like this?
Mark Shifke: We don't.
Steven Streit: We don't.
Tien-tsin Huang: I'm asking, because it sounds like obviously a lot of the future growth is going to come there, you're quite bullish about the prospects in the pipeline.
Steven Streit: Yes.
Tien-tsin Huang: Just thinking about if that growth could come at a lower incremental margin at some point or if we're already there.
Steven Streit: Well, here's what I would say. We know from previous discussion anyone who looks at the model, the revenue performance on our established product lines are certainly greater than new product lines. They're older, they've been acquired for longer and so season portfolios generate better margins. So without going into a breakout of the numbers or an analysis of it, if we're doing about a 30% margin on that outperformance, that would imply that a lot of that is being driven by the legacy or established products that customers have had for a long period of time. But on the BaaS side, as people have those products, they too become higher margin products, because they have longer times to use and they use them more. So the margins that are there are strong as well, but you have the rev share component. And that's why as you know in our presentation starting next year, we're going to back out to commissions in rev shares. So we wouldn't expect our overall blended margins to be hindered by a growth in BaaS materially. But the 30% also certainly isn't a normalized marginal mixed in. I think we had a pretty good contribution from our legacy and our established product lines.
Mark Shifke: Yes, and just to follow on Steve's points, the back half of the year is going to be more weighted towards our established product lines rather than to our BaaS programs. And then for the long-term, I think Steve's spot on where you're looking at basically not having real sales and marketing, but distributing cards through partners and having predominantly direct deposit relationships with their customers. And then on cash transfer side I think there's an opportunity we're still early days with SimplyPaid, but that and our cash transfer capabilities on the platform should also ultimately, I think, be fairly decent margins too.
Steven Streit: I think a global statement, Tien-tsin, is we feel good about margins, because there's just so much opportunity for efficiency. When you look at our platform and the way we do things and how customers are using the card and the margin expansion from a direct deposit customer, whether they're from BaaS partner or from a product we're selling ourselves on the shelf at a retail store, is so greater -- so much greater than the mix of customers that we used to have that would turn more quickly with the product that we have plenty of opportunity to continue to expand margins, which is why we've been so bullish. It's very hard to expand margins the way we've been expanding them historically and what we're guiding for this year. And still -- due to the kinds of investments we're doing. But we are in fact doing that and I think as you know a lot of public companies would very fairly say, look, we're investing in growth and therefore we're going to hold back EBITDA or we're going to have decrease in margins. But we're doing it because we're growing. And there's nothing wrong with that. That's a very fair statement to make and there's nothing wrong with that. We're saying sort of that, but we're also growing margins. We're saying, yes, we're investing in new platforms, building both neighborhoods if you will and water treatment plants and electric plants to use my analogy on one of the previous calls. We're doing all of that and we're expanding margins. And I think that does speak to the efficiency that we have in the business and more to come.
Tien-tsin Huang: Right. And you will be able to reinvest, which is great. So let me just ask one more on the banking as a service. I liked your answer on the -- being vertically integrated and doing the program management, having the bank, et cetera. But I'm curious, how are the bake-off for new potential partnerships being handled today? Is it -- are these sole source negotiated deals? Are partners potentially looking at buying just components instead of looking at the vertically integrated piece? I'm just curious how it might be evolving, thanks.
Steven Streit: Yes, a good question. So I think what you said -- I didn't understand it at first but I think you said bake-off in other words why are clients choosing us, is that what you're asking?
Tien-tsin Huang: Well, how are they going about selecting their partners, right, so is it a sole negotiated situation, are they doing RFPs…
Steven Streit: No, no, most all are RFPs, I think most large companies do that for governance if for nothing else, RFPs. Where we generally win, and I'm not aware that we've lost a lot of them, but I guess I may not know all of them, but the reason we generally win is that they usually come to Green Dot first because of our technology. And they fall in love with the technology, and oh my Gosh, you can do that, you can do that, and you can leave those teams, and you do Agile and you get all excited about the technology capabilities. And we usually start talking tech with their tech teams. That's how our relationship normally begins. It blossoms out once it becomes real, and they go, "Wait a second, you are the bank," "Oh, you have your own risk management organization," "Oh, wow, you have your own compliance," "Oh I see, okay." And then they realize, "Wait a second, they are controlling compliance and risk management and the bank issuing, and the balance sheet, and capital deployment, and the investment strategy," and "Oh, you also have world-wide call centers and that are highly scaling up," you know, we do millions and millions of calls a month. And on and on and on, and usually by the time the end of the RFP comes, what they're excited about is our capability set that were vertically integrated with all the pieces you need to make it happen. And then if that didn't win them over, the final piece is that -- I don't want to sound braggadocios, because we feel very blessed and proud of it, but a lot of big partners have chosen us, and I'm really happy they chose us. So when that prospective partner makes a call to one of our current partners, they hear really good things. And Tien-tsin, you may remember -- we are both too young maybe to remember this, but back in the 80s, when IBM was the cat's meow, they had a sales slogan they used to use and they said, "You know, Joe" -- this is back in the 80s, "You know, Joe, nobody gets fired for hiring IBM," because it's very risky for Head of IT in those days to chose the technology provider; nobody wanted to get fired to have their system blog. And I think there is a lot of today that Green Dot legitimately sells. And that if you are choosing Green Dot, and you are that buyer for that big enterprise level, headline risk-averse company, I think it take a lot of comfort that we are bank and the provider for Walmart and Apple and Uber and Intuit, and that our products are sold nationwide and all these big name brand retailers, and that we're part of a bank regulated by the Federal Reserve and that we operate in all 50 states and so forth and so son. I think there is a lot of comfort that big headline risk-averse clients had taken that, and they should.
Tien-tsin Huang: Yes.
Steven Streit: I mean my team probably was because of the finance department, but I suppose the truth I think maybe correct.
Tien-tsin Huang: That's why I threw all the hard questions to you, sir. I appreciate the answers, guys.
Steven Streit: You bet, Tien-tsin. Thank you.
Steven Streit: Folks, this maybe a record for the shortest call we have. We have no more questions in queue. We will have the one-on-ones after, and maybe we will see at a conference or two coming your way soon. Thank you all for listening, and have a wonderful day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.